Operator: Greeting. And welcome to the Brickell Biotech Inc. Fourth Quarter and Full Year 2020 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Ferry with LifeSci Advisors. Thank you. You may begin.
Dan Ferry: Thank you, and good afternoon, everyone. Joining me on today's call are Brickell's Chief Executive Officer, Rob Brown; Chief Financial Officer, Bert Marchio; Chief R&D Officer, Deepak Chadha; and Co-Founder and Chief Operating Officer; Andy Sklawer.
Robert Brown: Thank you, Dan and thanks everyone for joining us on this call this afternoon. First, I will provide a business update and then ask Deepak to provide an update on our ongoing Phase 3 clinical program. Bert will then review the financial results we reported earlier today before we open up the call for questions. With that as an outline for the call, let's started. We entered 2021 with a positive momentum surrounding our lead program sofpironium bromide which we're developing for as a potential best-in-class treatment option for the for primary axillary hyperhidrosis or more commonly known as excessive underarm sweating. Several recent achievements have put this program on a clear path and we anticipate that various near-term milestones within the year will position the company for potential long-term success. We initiated both pivotal Phase 3 clinical trials, Cardigan 1 and 2 in which we are evaluating the efficacy and safety of topically applied sofpironium bromide gel 15% and approximately 350 patients per study. I am pleased to announce today that the Cardigan 1 study has already exceeded 50% enrollment and we remain on track to announce top line results for both pivotal studies in the fourth quarter of 2021 Secondly, the fourth quarter of last year we raised approximately $13.7 million. In addition already this year we received approximately $10.5 million in aggregate net proceeds through the warrant exercises and the sale of shares under our existing ATM Equity Offering Program. This capital further strengthens our balance sheets and provides us with cash runway for at least the next 12 months and allows the company to continue executing on key activities that will enable us to submit a new drug application pending the successful outcome of the pivotal Phase 3 program.
Deepak Chadha: Thanks Rob. This is truly a transformational phase in the company's history. The progress we have made over the past year particularly in the light of the pandemic speaks not only to the strength and resilience of our team but also the opportunity in front of us as we develop sofpironium bromide as a potential best-in-class treatment option to improve the lives of millions of patients suffering from primary auxiliary hyperhidrosis in the United States.  As Rob just mentioned enrollment is on schedule for the two U.S. pivotal Phase 3 studies evaluating sofpironium bromide gel 15% for the treatment of primary axillary hyperhidrosis. We initiated the first study Cardigan 1 last October and we are pleased to report that we have already enrolled more than half of the approximately 350 total subjects we expect to enroll in the study. The second study Cardigan 2 started dosing patients last December and all participating investigational sites are now on board. We continue to be pleased with the recruitment and study enrollment progress which is in line with our expectations. Looking at Cardigan 1 and Cardigan 2 we believe these studies are on track to complete enrollment by the end of third quarter of 2021 which would allow us to report top-line data from both of the pivotal studies in the fourth quarter of this year.
Bert Marchio: Thanks Deepak. And good afternoon to everyone on the call. Before I review financial results as the newest member of the Brickell executive team I'd like to share my enthusiasm in joining Brickell as its Chief Financial Officer. As Rob and Deepak have discussed on this call great things are happening here at Brickell as our lead program progresses through Phase 3 clinical trials and I'm really excited to be part of the team and bring my years of experience as we look to scale the company up over the coming years.  And now on to a summary of the fourth quarter and year-end financial results after which I also encourage you to read our full consolidated financial statements and MD&A contained in our inner report and on form 10-K which can be accessed through the investors section of our website once filed with the SEC. Starting with cash, as of December 31, 2020 we reported 30.1 million in cash and cash equivalents having used $4.8 million in cash during the fourth quarter of 2020. In addition to our year-end cash balance as previously mentioned our balance sheet has been further strengthened this quarter by aggregate net proceeds of approximately $8.9 million we receive from warrant exercises and approximately 1.6 million from the sale of shares under our ATM Offering Program. We believe our current cash position will support our operations beyond the top line results of the U.S. pivotal Phase 3 program and into 2022. In addition, as a general housekeeping measure we filed a new S3 today.
Robert Brown: Thank you Deepak and Bert for your recap. This is really an exciting time for the company. We're all working together to continue to build momentum behind our ongoing pivotal Phase 3 clinical program. Before we open the call-up questions I would like to make everyone aware of an upcoming KOL event on hyperhidrosis that we will be hosting later this month. This event will provide our investors, analysts and other interested stakeholders the opportunity to get an even deeper understanding of what a primary axillary hyperhidrosis patient is dealing with in their daily lives, the current treatment options and why we believe this is a severely underserved and under-treated market. This virtual event will be led by two highly distinguished thought leaders in the field of hyperhidrosis; Dr. Adam Friedman of the George Washington University School of Medicine and Health Sciences and Dr. Joel Cohen of About Skin Dermatology. This KOL event is scheduled to take place at 10 AM eastern time on Friday, March 26. We have already issued a press release with registration instructions but if you have any additional questions please don't hesitate to contact our investor relations representatives. We are excited about this event and look forward to having you all listen in.
Operator: Thank you. Ladies and gentlemen at this time we will be conducting a question and answer session.  Our first question comes from the line of Thomas Flaten with Lake Street Capital Markets. Please proceed with your question. 
Thomas Flaten: Thanks. Hey guys thanks for taking the questions. Just a couple on the timing of Cardigan 1 and 2. So with if enrollment is completed by the end of the third course, I think you've guided given the time the last patient would be in the study how should we think about the risk of that flipping over from the 2022 from a data reporting perspective? 
Robert Brown: Yes. Hey Thomas thanks for jumping on the call and asking the question. Normally after a study is completed obviously there's the whole data cleanse process and making sure you get everything right and you want to be very careful on that. That process is usually let's say six weeks. So it would have to go pretty long for us to flip over into the next quarter. 
Thomas Flaten: So do you believe the patients will be out of the study by the end of the third quarter or it'll be last patient in at the end of third quarter I just want to make sure I understand. 
Robert Brown: No. We make last patient out by the end of the third quarter.
Thomas Flaten: I see okay. Well that changes everything. Fair enough and then I was wondering if you guys could provide a little bit of guidance on operating expense spending for the year? Obviously it ramped up pretty heavily in the fourth quarter and I know there's some prepayments in there but I was wondering if you could give us thoughts on how you expect that to look over the course of the year.
Robert Brown: Sure. Bert would you like to handle that? 
Bert Marchio: Yes. In terms of the expenses as we said on the call we expect the cash that we have the last is through top line readout and into 2022. At this point that's the guidance we're giving.
Thomas Flaten: Okay. Fair enough. And then if you could just clarify on the AnGes. So I had understood it from the original agreement that you guys would take a look at the Phase 1 data and then determine if you were going to participate in Phase 2 but then they turned it into a Phase 2-3 can you just walk us through what happened there and how and what if and how you guys are involved in that data review? 
Robert Brown: Yes. Thanks Thomas, yes. So the way, remember we have an option to make decisions at points in their development process. What they've done is they finished their Phase 1. They moved into this 2-3 before all of the data was complete. We have had a chance to look at the top line information of the study but not the finalized study report. AnGes obviously controls the release of that information. So we really can't talk about their data but we have a chance to look at some of their initial feedback from that study. Obviously they looked at that information and chose to move forward with their study which we viewed as encouraging.
Thomas Flaten: Got it. Thanks so much. 
Operator: Our next question comes on the line of Leland Gershell with Oppenheimer. Please proceed with your question. 
Leland Gershell: Hey good afternoon and thanks for taking my questions. Got a couple. First just in terms of the enrollment seems like it went at a bit faster pace than had been anticipated. Just want to ask if there were any factors you can identify that drove that faster rate and also just among the sites if there were any particular centers that represented kind of the drivers of the faster enrollment and then just a question in terms of ECCLOCK in Japan I know it's still early days with that launch and there are obviously certain limitations on early drug launches in Japan but I just wonder any further color you can share with the trajectory of how that launch is going as we've gotten into 2021. Thanks very much. 
Robert Brown: Sure. Thanks Leland and why don't, I'll answer the last question and Deepak I want turn it over to you to answer the question on the clinical trial. On ECCLOCK they got approval I think it was launched I think they launched November 26. So obviously the fourth quarter of last year was a pretty short quarter and of course you're just getting started and stocking is more it than anything else. So it's a little early based on those sales to make any projections to what the product might look like. I mean based on our conversations with Kaken we're encouraged by how well it's going but it is really early and the first year in Japan is a little hard to interpret in terms of long-term value for an asset. For those on the call that don't know that in Japan there is a limit on the length of a prescription to two weeks and what that means is that for a patient to get more than two weeks of product they actually physically have to go back and see the doctor and get a new prescription. It's not a refill and the Japanese government does that because historically they had problems with drugs getting approved and seeing unknown side effects. So therefore they try to limit the utilization of new products in their first year. So often what you do is see kind of a muted first year and then third, month 13 tends to be more substantial. So with that said Kaken is out doing their stuff. Everything we hear is positive. We feel very good about the launch overall but the first, the whole first year is a little hard to interpret and certainly the first six weeks which is what we're reporting here is definitely difficult to make too much, determine too much how product is going to do. Deepak would you like to answer the questions on the clinical trial?
Deepak Chadha: Sure. Happy to do that. Good afternoon Leland this is Deepak. Thanks for your question. So your question was around the enrollment for our Phase 3 studies and again I think as mentioned on our call I think we are tracking against our projected enrollment timeline but again I think we are pleasantly surprised a little bit not having any COVID related delays although we put the checks and balances and measure to do any COVID related delays whether to do any remote assessment but that's maybe one of the factors that our enrollment is on target and also because it's multinational study across all the geographies in the United States. So clearly I think looking at the extent of COVID play some of our investigation centers for example like in Florida, Texas I think clearly I think they were more of the high enrollers. So I think that may be one of the reason we are still on track which is good news and we are just hoping we stay on track with our second pivotal in coming months.
Robert Brown: Yes. Thanks Deepak and just to add a little color to that we're pleasantly surprised by enrollment. We had obviously some concerns about our ability to recruit during the peak of the pandemic and we're really happy with the work, the team the CRO everybody's really done to bring this together and certainly the sites and the patients. So we're encouraged by where we are and think certainly we're still on track to report out top line data in the fourth quarter.
Operator: There are no other questions in the queue. I'd like to hand the call back to CEO, Robert Brown for closing remarks. 
Robert Brown: Great. Hey, thanks and thanks for taking the time this afternoon to listen to our update. I wanted to close out the call by thanking our team for their hard work and dedication, the investigators and the health care workers at the clinical trial sites for getting these two studies up and running smoothly and of course the patients who are participating in studies that are paving the way for others across the country that continue to suffer silently with hyperhidrosis. While every clinical program undoubtedly has its own set of challenges the COVID-19 pandemic has presented a unique set of hurdles. That said I believe our team has done an excellent job in conducting these studies and we are encouraged with the enrollment rates which continue to fall within our expectations. We look forward to keeping you all updated on the progress of these studies over the months to come. As always feel free to reach out to us if you have any additional questions and we hope you have a great rest of your day. 
Operator: Ladies and gentlemen this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.